Operator: Good morning, ladies and gentlemen, and welcome to Enghouse's Q4 2025 Conference Call. [Operator Instructions] This call is being recorded on Tuesday, December 16, 2025. I would now like to turn the conference over to Mr. Sadler, Chairman and CEO. Please go ahead.
Stephen Sadler: Good morning, everybody. I'm here today with Rob Medved, Chief Financial Officer; and Todd May, VP, Legal Counsel. Before we begin, I will have Todd read our forward disclaimer.
Todd May: Certain statements made may be forward-looking. By their nature, such forward-looking statements are subject to various risks and uncertainties, including those in Enghouse's continuous disclosure filings such as its AIF, which could cause the company's actual results and experience to differ materially from anticipated results or other expectations. Undue reliance should not be placed on forward-looking information, and the company has no obligation to update or revise any forward-looking information, whether as a result of new information, future events or otherwise.
Stephen Sadler: Thanks, Todd. Rob will now give an overview of the financial and business results.
Rob Medved: Thank you, Steve. Good morning, everybody. Thank you for joining us today to discuss our results for the fourth quarter and fiscal year ended October 31, 2025. Fiscal '25 was shaped by considerable economic, technological and geopolitical changes from the fast-paced evolution of AI to increase global uncertainty caused by tariffs and international events. Many organizations contended with negative operating margins escalating costs and unpredictable demand. Amidst these challenges, Enghouse remained resilient, delivering steady results and advancing our strategic objectives. Thanks to our diversified business model and disciplined execution, we sustained stability and profitability in a market where many others have struggled. In the fourth quarter, revenue reached $124.5 million compared to $125.7 million in Q4 last year. For the full year, revenue totaled $498.9 million just slightly down from $502.5 million in fiscal '24. Our recurring revenue, comprised of SaaS and maintenance streams, made up over 69% of total revenue for both Q4 and the year, ensuring greater predictability and a buffer against wider market fluctuations. Adjusted EBITDA for Q4 was $33.7 million, representing a margin of 27%. For the year, adjusted EBITDA stood at $127.6 million with a margin of 25.6%. Net income for Q4 was $21.1 million, while for the full year, net income was $73.7 million or $1.34 per diluted share. We closed the year with $269.1 million in cash and no external debt, preserving the financial flexibility that defines Enghouse. Our Asset Management Group, or AMG, which includes our transportation business was a particular highlight this year. Q4 AMG revenue reached $55.7 million, a 9.3% increase from $51 million in Q4 last year and nearly matched Q3's $56 million. For the year, AMG revenue grew to $213.1 million, up more than 10% year-over-year. This growth was largely fueled by our acquisitions of Margento and Trafi, both completed in 2025, which expanded our offerings with scalable mobility-as-a-service platforms, advanced transit fare collection and account-based ticketing solutions. With these additions, our Transport division now provides a complete suite for transit agencies and operators from e-ticketing and automated fare collection to fleet routing and MaaS platforms. Turning to our Interactive Management Group, or IMG. Q4 revenue was $68.8 million, compared to $74.7 million in Q4 last year and $69.6 million in Q3 just passed. For the full year, IMG revenue totaled $285.8 million. While this was a year-over-year decline, it reflects expected churn in maintenance and SaaS streams as well as our ongoing transition to SaaS-based licensing models. The acquisition of Aculab this year has strengthened IMG introducing advanced communications and AI-driven technologies, such as voice and face biometrics and high-performance media processing. A key driver of our performance this year, particularly in Q4 was our proactive approach to cost management. In the second half of the year, we undertook a series of restructuring and cost-cutting initiatives across the organization, including streamlining operations, aligning our cost structure with current revenues and reducing operating costs, especially in areas affected by acquisition, integration and market shifts. Though these decisions were challenging, they were essential to keeping Enghouse agile and profitable. The benefits of these initiatives began to show in Q4, driving improvements in both adjusted EBITDA and net income. We anticipate these efficiency gains will continue into fiscal '26. We continue to look for opportunities to strengthen and diversify our business. Shortly after year-end, we acquired the Telecommunications division of Sixbell, expanding our presence in the Latin American market. This acquisition aligns with our strategy of disciplined, accretive growth and positions us to serve new customers and markets. At the same time, we remain committed to returning value to our shareholders. In 2025, we returned $61.8 million through dividends and a 16% increase over last year and repurchased $14.7 million of our shares. Yesterday, our Board approved an eligible quarterly dividend of $0.30 per common share payable on February 27, 2026 to shareholders of record at the close of business on February 13, 2026. These actions reflect our confidence in Enghouse's long-term prospects and our commitment to steady, reliable returns for our investors. In closing, I want to thank our employees for their dedication, our customers for their trust and our shareholders for their continued support. I will now hand the call over to Mr. Sadler.
Stephen Sadler: Thanks, Rob. We continue to make progress with our new 2025 business unit structure. As Rob indicated, we maintain our strong financial position with a reasonable and improving adjusted EBITDA percentage to revenue. This was achieved in difficult enterprise business markets as customers attempt to understand how to best implement AI to monetize such -- their investment. We have found most of our customers are struggling to implement AI effectively to improve their return on investment. As we have been implementing in a practical manner using a small language model, SLM concept, we're setting up a group of our R&D and service staff in both our IMG and AMG segments to focus on AI professional services to our customers current and new. This is a new area that we are getting into, but we have done a lot in AI, much of which are being called AI now, but which is really being things we've done to improve our efficiencies over the years. And we believe taking this to our customers is a viable business opportunity. With respect to capital deployment, we are purchasing Enghouse stock using our NCBI, Normal Course Issuer Bid, and continuing our acquisition strategy with Sixbell's Telco division being acquired just after our fiscal year-end. As noted last quarter, we continue to see substantial acquisition opportunities, which will provide a return on our investment. We're looking to increase our acquisition team to increase our focus on capital deployment. I would now like to open the call for questions.
Operator: [Operator Instructions] with that, our first question comes from Erin Kyle with CIBC.
Erin Kyle: Maybe I can start with whether you can give us an update on the progress of the LifeSci solution from a go-to-market perspective. Now that, that solution has been revamped. So how have new bookings been trending there?
Stephen Sadler: It just has gotten revamped, we're now taking it out, let's say, January 1. We had to eliminate some third-party products, which are making the cost too high. You'll see that as people go to SaaS sometimes the cost, especially if you're using the Magnificent Six and then plus NVIDIA because they do charge a fair bit for their services, and you got to be careful what products you put in there. So we just finished that now and look like we're going to be taking that forward starting in January. So that hasn't started yet, but we're optimistic on what improvements can be made with that system.
Erin Kyle: Okay. That's helpful context there.  And then I just wanted to ask -- so I recognizing the challenging environment for organic growth over the past several quarters. I was wondering if you could discuss how you're evaluating for future growth here and whether divestitures of any noncore assets or old acquisitions have ever been considered as a potential lever to enhance focus and improve the organic growth profile of the business here?
Stephen Sadler: Sure about improving organic growth by divesting of assets because all our assets are pretty much similar type businesses, but we do see the opportunity in this environment for greater capital allocation and some of the things we're looking at doing with the new IMG software that we just talked about, we're hoping that will improve internal growth a little bit. But again, it's basically -- we're basically a capital allocator. We're basically not trying to get a lot of growth in a market that isn't growing, that would just cost us a lot of money. We emphasize the bottom line a lot, and we don't do things that detract from our bottom line.
Erin Kyle: Fair enough. Maybe I'll just squeeze one more in here. Just on the Sixbell acquisition that you closed post quarter end. Maybe you can just give us any additional color on the size of that acquisition and any progress on integration so far.
Stephen Sadler: It's a small acquisition. It's in an area where we're already in, in South America, and the integration is ongoing right now. Again, we just started it in early November. So we're continuing to make progress. We think it'll be like our acquisitions of the past and add to a little bit to revenue and certainly to EBITDA to give us the return that we expect.
Operator: And the next question comes from David Kwan with TD.
Salman Zia Rana: This is Salman Rana on behalf of David Kwan. So the commentary on your results, it mentions that you expect further efficiency gains going forward. So without making in any additional M&A, could this imply that margins could be higher versus the 27% you delivered this quarter?
Stephen Sadler: Yes.
Salman Zia Rana: Okay. And on the restructuring that you undertook last quarter, did you realize the full $2 million, $2.5 million benefit in Q4 from that? Was that fully baked in?
Stephen Sadler: No. I don't know what extra color you need, but I just -- sorry to be brief.
Salman Zia Rana: That's fine. And as a follow-up to that, on the subsequent restructuring that you also announced on the call and in your results,  how much of that was reflected in Q4? And how much of that is expected to save you guys going forward?
Stephen Sadler: A lot was in Q4, but in some countries, you've got to give a lot of notice and you've got to go through procedures. And so there were several -- some of the expenses have -- weren't even in Q4, okay? So they're still coming a little bit. And we're also reassessing some of our areas and there could be future reductions as well to streamline operations, especially in the IMG group. We match cost to revenue. We do it all every day. So we're still looking at that to see if we can improve the bottom line further.
Salman Zia Rana: That's great color. And on M&A, again, you mentioned there are substantial M&A opportunities out there. Where -- in your pipeline, do you think you still have a lot of transformational assets because you've spoken about them over the last couple of years. So curious to get some color on that.
Stephen Sadler: Yes. I mean it's a good pipeline. Of course, you've got to get deals done. We want to make sure that they're going to add to our EBITDA profitability. So we're very careful. There's a lot of companies struggling, as Tom -- as Rob said, I get all the names mixed up. As Rob said, based on the environment out there today, they don't know where tariffs are going. It doesn't impact us, but it impacts our customers, which impacts us. So that's still an issue. And I think, it will continue for a while.
Salman Zia Rana: Understood. And if I could just squeeze one more in. As part of your M&A pipeline, would AI acquisitions be something you'd be interested in? I think that would also augment what you're doing internally. So any thoughts on that? What kind of multiples you could potentially pay out there for those assets?
Stephen Sadler: So the answer is that would be a potential acquisition. Aculab was basically doing acquisitions. The trouble is we can't really find any that make money.  They actually can't monetize their AI investments. That's a real struggle for a lot of companies. That's why we're setting up these 2 professional services groups because we've done a lot of it ourselves for ourselves. So we think we can take some of that expertise through the professional services area to take it to our customers, because it doesn't tie in general sense to everybody. Everything has to tie into their models or their data and that's why we set up a small language model because we're generally in that mid-market. We don't do the real big guys who go to large language models. So we've done that. We've got the expertise in-house we thought, why not see if we can monetize it in a different way. So we are starting that in January. We've got the group set up. The Aculab person, who is running Aculab, she teaches AI at the University in the U.K. So we've got some good expertise in the area. Let's see if we can monetize it in a slightly different way.
Operator: And the next question comes from Kevin McVeigh with UBS.
Kevin McVeigh: Great. Congratulations on the continued execution. I wonder, could you give us a sense of, I guess, a couple of things, could you continue to execute really well. Any sense of -- and it may be a little hard to dimensionalize, but how should we think about inorganic versus organic contribution over the course of '26? And any sense of when you would expect an inflection point in the revenue? And just tied into that, are you seeing a little bit more certainty amongst clients, as they're reacting to kind of Gen AI or any shift at the margin just given Obviously, it feels like some of the euphoria is coming out of the broader Gen AI. Just are clients seeing any bit of just more certainty that allows you to react to that?
Stephen Sadler: First of all, we have several areas, and it's interesting. Everyone talks about contact center and AI, but our networks business and revenue is just about the same as our contact center now, okay? So that's not discussed very much. They're bigger customers, and we can do some Gen AI there. And that's why we also set up a group separately for them versus our contact center as of in January for AI, that's first of all. Second of all, in our customers why we're doing that is because none of them seem to be successful in using AI at this stage. You've got to learn it. It's early innings, but we've learned a lot doing it for ourselves, so we want to bring some of that expertise to our customers. Remember, they're not the real large customers who are spending tons of money in some ways, bleeding themselves to that. We have middle-range customers who are more careful with their spending. So we think we can bring a practical approach to it. That's why we're setting up these 2 groups with the expertise that we have and we use ourselves. So we have people who could do it. So why not use it to help our customers do a little bit better. So that's how we see it as for the internal growth side, we're in tough markets. There's no doubt about it. I would think 2026 fiscal year will be a good, stable year. It should be a better year because we got a two-pronged approach. So with this tough markets with limited internal growth, it's good markets for acquisition growth. So we intend to get back to redeployment of our cash on acquisitions to a greater degree, and we're hiring some extra staff to do that, which we're in the process of doing now, but are not hired yet, expect also in January to expand that group a little bit to handle some of the many opportunities that are out there right now, again, because of the same markets. I just talked about where it's really what Rob mentioned, which is very difficult right now in many ways, people are uncertain to spend because of all those rates. It's not because of any particular, but tariffs what's going to happen down the road and they're quite uncertain in the market, all that does is freeze spending a little bit. So I'm not really pushing very hard on the internal growth for fiscal '26. We'll take what we have. We've got good products. Our new product is ready to go. It's been developed. We've taken out a lot of the third-party costs, which makes it great to sell, but if the third-party costs are high, you don't make money. So we want to make money. So we had to do that first before we go out there and put in a lot of places to lose money. So that's what we virtually have finished. And again, January should be interesting because there's a lot of things starting from the work that was done this year.
Kevin McVeigh: It's very, very helpful. And then just one quick one, and I'll get back in the queue. In terms of terrific pacing of the dividend, should we expect the same percentage or absolute dollar amount, well, not the dollar amount, but cents increase in the dividend in '26? And how are we thinking about that just relative to the capital allocation on the M&A?
Stephen Sadler: So it's an interesting question. Of course, it's up to the Board of Directors to decide, and we usually look at that at the AGM in -- yes, in March. My guess would be and what I was considering and recommending to the Board is to still increase the dividend, but very slightly and spend more on buying back our own stock. We think that is a better opportunity for our capital deployment, doing acquisitions and repurchasing our stock. So we're in a normal course issuer bid. We'll continue in a very organized manner to protect our stock in any way because the environment is uncertain, and it could get worse, not necessarily for us, but in general. So I would think you should expect less of an increase in the dividend, and more of our capital allocation going to acquisitions and our current stock, which we think is a reasonable investment right now.
Operator: [Operator Instructions] The next question comes from Paul Treiber with RBC Capital Markets.
Paul Treiber: Just a question on the 2 groups, the professional services groups you're setting up. Is that primarily to generate professional services revenue? Or do you expect that there will be a longer-term attach in addition to professional services with potentially higher software revenue, both in IMG and AMG?
Stephen Sadler: So what we are going to do, and again, it's a bit of a new area, we are going to use it even with new sales to offer new customers, who purchased our software that we will give them some AI expertise, probably at a very good price. As we learn more, what all our customers are looking at. And from that, we could develop software that we might sell. But I don't think you'll see that in 2026. I think that's a setup year to go forward from there and depends on how that works out. As you probably know, a lot of people are trying AI. It isn't -- it's hard to monetize people are having difficulty. They understand it personally to get some productivity, but how do you do it into software has been a very challenging event for -- especially for enterprises. Enterprises have a hard time doing AI. And there's a lot -- let's just say, we believe there's a lot more promotion of AI into the actual results being achieved from it in enterprises. But we think the professional services will help our customers with the expertise we have and will also lead us to believe which are the best applications that we can monetize going forward. Because right now, it's difficult to see it in all our business units, transportation, networks and contact center. So we want to get a little bit more on what everyone is thinking about and a little bit, let's say, getting paid for trying out some different things for our customers to help them and also to give us a bit more knowledge on proof of concepts, et cetera, which might be able to work. Right now, it's hard to see how you can make it work other than  selling the services in the markets we're in. Remember, we're in a small business, smaller-sized contact centers. The large telcos are doing their own thing, and we see how we can help them. And transportation, again, we're finishing off our major projects we had in the Netherlands. And so we're going to see some additional profitability from those going forward in '26. So we're pretty well positioned, but as slow as she goes, it's no home runs there. There's just as steady she goes, continuous progress, and we see the same in '26.
Paul Treiber: And then what do you see is that the gap or the challenge with enterprises deploying AI? And then how do you hope to help your customers address that?
Stephen Sadler: That's a tough one. That's what I'm trying to find out. All I know is it isn't working anywhere. I don't see -- if you look at any real studies, not promotional studies, they'll tell you, I think 95% of CEOs see no return from the AI work they're doing. There's something there. We've got to figure it out. The best way to do it is, let's do it with our customers, and see if we can monetize it a little bit as we go forward with that. Set up a group to do it. We have many solutions internally that we use. They're very exciting, but they're all based on, let's say, the SLM, small language model, like you only have your data for a week or two and to analyze an agent, for example, to analyze who you think customers might leave. There's a lot of stuff that we've done that we think others can use. They call it AI. Some of it is using the AI software. Some of it is just things that we've been doing for a while, but people are now calling AI anyway. It's like they say translation of voice from one language to another really now for 10 years, but now that's AI. So we're trying to sort it out, and we're going to try and sort out with our customers, and we believe this is a way to do it to help them, help us understand and maybe -- if I understand, I'll be able to answer your question better in the future. But right now, it's very difficult to see enterprises monetizing AI, although the potential to do so in the future is there.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Mr. Sadler for closing remarks.
Stephen Sadler: [indiscernible] is well positioned for the future to add shareholder value. Thank you for attending the call and your continued support.  Have a Merry Christmas and a happy holiday season.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.